Operator: Greetings, and welcome to the Greif Fourth Quarter 2013 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Deb Strohmaier, Vice President of Corporate Communications. Thank you, Ms. Strohmaier. You may begin.
Debra Strohmaier: Thank you, Manny, and good afternoon. As a reminder, you may follow this presentation on the web at greif.com in the Investor Center, under Conference Calls. If you don't already have the earnings release, it is also available on our website in the Investor Center. We are on Slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on Slide 2 of this presentation, in the company's 2012 Form 10-K and in other company SEC filings, as well as the company's earnings news releases. This presentation uses certain non-GAAP financial measures, including those that exclude special items, such as restructuring, timberland gains, noncash long-lived asset impairment charges and other unusual charges and EBITDA. EBITDA is defined as net income plus interest expense net, plus income tax expense, less equity earnings of unconsolidated subsidiaries net of tax, plus depreciation, depletion and amortization expense. Management of the company uses the non-GAAP measures to evaluate ongoing operations and believe that these non-GAAP measures are useful to enable investors to perform a meaningful comparison of current and historical performance of the company. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation and in the fourth quarter and fiscal 2013 earnings release. Giving prepared remarks today are, in order of speaking, David Fischer, President and CEO; and Corporate Controller, Ken André. I will now turn the call over to David.
David B. Fischer: Thank you, Deb. Good afternoon. I am now on Slide 3. I am proud to report that in fiscal 2013, several of our business units achieved world-class safety status, which is defined as an index of less than 1.0 based on the industry standard measurement of medical case rate. Our Flexible Products segment reported a 0.41 medical case rate, while the Asia-Pacific region achieved 0.77 and our Rigid business in the U.S. Southwest achieved a rate of 0.4. 8 out of our 11 plants in the Southwest region had 0 medical cases. CorrChoice and our Massillon mill also achieved a world-class status medical case rate of 1.0 or less. We continue to remind our employees that our goal is 0 incidents in the workplace. Greif's consolidated medical case rate for fiscal 20,013 -- 2013 decreased to 1.47 from 1.56 a year ago. In short, employees are safer and our efforts have the additional benefit of avoiding millions of dollars of medical expenses each year. Please turn to Slide 4. I am pleased to report our fourth quarter operating results benefited from positive volume improvements in our Rigid Industrial Packaging and Paper Packaging segments, a 16% increase in gross profit dollars and the highest quarterly gross profit margin in 3 years and slightly lower SG&A expenses compared to 1 year ago. In fiscal 2014, we will focus on continued emphasis on safety in all of our facilities and work-related activities; further progress on reducing operating working capital and increasing our cash flow; increasing integration levels, capacity and product differentiation efforts in Paper Packaging; implementing more Greif Business System initiatives to improve performance; and finally, additional restructuring of selected geographies and assets that persist with unacceptable results. Please turn to Slide 5. The Rigid Industrial Packaging segment's operating performance was substantially above the prior year, benefiting from positive volume comparisons in most regions and further implementation of the Greif Business System initiatives. These results were achieved despite a very weak agricultural season in North America, in Europe, the Middle East and North Africa, which was partially offset by an improved Ag Chem season in Latin America. While volumes continue to improve, the global recovery remains uneven. We will address this issue in fiscal 2014 through additional GBS cost-savings actions, including more aggressive rooftop consolidation in selected geographies that have not participated in the slow-motion global economic recovery. Our primary focus will be on those facilities that are consistently underperforming and also often require a higher amount of working capital. To update you on the growth of our Rigid IBC product line, we have largely completed our initial investment in expansion with operations now functioning in each one of our SBUs. This includes the introduction of our new G3 brand, which includes the new generation of Rigid IBC products and services. As we had expected, G3 has received a warm reception from our customer base. I am now on Slide 6. Following our acquisition of the 3 largest global flexible IBC manufacturers and the largest distributor of these products in Europe in 2010, we immediately began to pursue integration plans in our Flexible Products business. Within the first year following the launch of these initiatives, we experienced a sharp downturn in our business in Europe, which accounted for approximately 75% to 80% of the business' net sales. In response to the sudden deterioration of market conditions, we implemented contingency actions, including the reduction of more than 1,000 full-time positions and the closing of 3 manufacturing sites around the globe to adapt to this situation. During the past 2 years, market conditions have improved only slightly from the depths of the economic recession, especially in Western Europe. The financial drag of underutilized new facilities, especially the KSA fabric hub, Morocco and our shipping sack operations, have masked the progress that is being achieved in other areas of this business. As a result, we have fallen well short of our initial and revised performance aspirations. With our joint venture partners, we are conducting a comprehensive review of the polywoven strategy, which is nearly complete and is expected to result in significant changes to put this business back on track to achieve growth and increased profitability going forward. We will keep you informed of these developments in the coming weeks and months. Please turn to Slide 7. Our Paper Packaging business achieved record fourth quarter and fiscal year 2013 results. While market demand may be more challenging in fiscal 2014, our current sales activities remain very strong. We have additional opportunities identified to increase our integration levels based upon our business strategy and structure. Last week, we announced a significant investment of our semi-chem medium machine at the Riverville mill. This $45 million investment is already underway and, over the next 2 years, involves the installation of a shoe press and other projects to improve the operating performance, reduce cost and increase capacity mill-wide. When completed in the summer of 2015, we expect to realize a 10% reduction in mill-wide energy costs that would represent approximately $3 per ton annually. We also expect to increase our total mill-wide capacity at the Riverville location by 11%, which represents an annual incremental addition of 55,000 tons. Despite our small scale versus industry leaders, these activities, coupled with our product and service differentiation achieved by CorrChoice, place Greif in a unique and strong competitive position to serve our independent customers. Going forward, our Efficient Frontier strategy will continue to provide a roadmap to achieve further operating efficiencies and increase production capacity over the next 30 months. Thus, capping this multiyear asset strategy that began in 2009. I'm now on Slide 8. In recent times, our Land Management segment has achieved approximately $20 million of EBITDA annually, primarily from sales of timberland and special-use properties. During this time period, we have also been diversifying sources of revenue as we pursue our strategy to unlock value in this business. Revenues from activities involving recreation, mineral and consulting have grown during the past 2 years and now represent a more substantial portion of quarterly net sales. While we are actively pursuing opportunities to unlock value from mineral rights that exist on our properties in the Southeast United States, we are still at the early stage of this process. We will not pursue this alone and we'll engage qualified strategic partners to share in the potential risks and benefits. In the meantime, we will continue to pursue other aspects of our Land Management strategy. During the fourth quarter, we completed the first phase of a multi-phased timberland transaction in North Alabama. The gain during the fourth quarter of 2013 was $17.5 million, which is being reinvested in timberland in other locations in the Southeast United States. This multi-phased transaction is expected to be completed over the next several quarters, with total proceeds of approximately $90 million. Also, I am very pleased to report that in line with diversifying its revenue stream, our Land Management group has registered an 1,820-acre wetland mitigation bank in Southern Mississippi. The group has received stream restoration, wetland pine savanna and bottomland hardwood credits. This mitigation bank is the first of 4 planned mitigation banks across our land portfolio. We are working through the permitting process on 3 other projects on lands in Louisiana and Mississippi. You will undoubtedly hear more about this during our next call. Please turn to Slide 9. Our search for a Chief Financial Officer is moving forward. The large number of initial applicants has been significantly narrowed as we seek to identify the person most qualified for this important position. Board members of Greif and top executive management have met with candidates and the process continues. We hope to complete the process early in the new year. Last week, we announced that Pete Watson will become Chief Operating Officer on January 1. Pete has demonstrated his ability to lead and grow businesses and he consistently maintains very close contact with customers. In more recent years, Pete has gained valuable experience through his responsibilities for the global sourcing and supply chain organization for our Rigid Industrial Packaging portfolio. His emphasis on safety, knowledge of the Greif Business System and commitment to the Greif way will benefit the company. I will now turn the call over to Ken André.
Kenneth B. André: Thank you, David. I'm now on Slide 10. Our fourth quarter 2013 operating results were driven by solid sales growth and higher margins compared with the same period last year, reflecting further strength in the Rigid Industrial Packaging and Paper Packaging businesses. Our reported fourth quarter of 2013 financial results were significantly impacted by the gain on the first phase of our multiphase timberland transaction and by the noncash long-lived asset impairment charges. Market conditions across our businesses were stable to slightly stronger than earlier this year and are certainly improved compared to a year ago. Net sales increased $50 million to more than $1.1 billion for the fourth quarter of 2013. The 4.7% increase included a 1.4% increase in volumes, led by Rigid Industrial Packaging and Paper Packaging segments, partially offset by a slight decrease in volumes in the Flexible Products & Services segment. As David said earlier, fourth quarter Rigid Industrial Packaging volumes were adversely impacted by the weak agriculture seasons in Europe, the Middle East, North Africa and North America, which also affected sales of multiwall bags for feed and seed in North America. From the perspective of our entire fiscal year 2013, volumes were improved in all segments. The 3.7% increase in fourth quarter 2013 selling prices was mostly attributable to the realization of higher containerboard prices in our Paper Packaging segment. Additionally, we benefited from the pass-through of higher raw material cost, particularly for resin and containerboard, plus overall positive changes in product mix. Selling prices were also higher for timber products in our Land Management segment. The foreign exchange translation component of net sales was negative 0.4% for the fourth quarter of 2013 compared with a year ago. Gross profit increased 16% to $226 million in the third -- in the final quarter of fiscal 2013 and particularly benefited from higher selling prices, especially for containerboard, as well as higher volumes and from increased productivity gains. Fourth quarter performance in Latin America in the Rigid Industrial Packaging business was substantially improved over a year ago. Partially offsetting the increase were additional cost in the Flexible Products & Services segment related to new facilities, including the fabric hub in the Kingdom of Saudi Arabia, a polywoven bag facility in Morocco and a shipping sack line in North America. The company's gross profit margin was 20% for the fourth quarter of 2013 or 2 percentage points above the same quarter in 2012. Selling, general and administrative expenses for the quarter were approximately $116 million or $5 million below a year ago, primarily due to lower performance-based incentive accruals this year, partially offset by inflation factors, including salary and benefit cost in fiscal 2013. SG&A expenses were 10.3% of net sales for the fourth quarter of 2013 or 1 full percentage point below the fourth quarter of 2012. There were $3.4 million of restructuring charges recorded during the fourth quarter of 2013. These included consolidation of operations in the Rigid Industrial Packaging & Services segment, especially related to the integration of our drum reconditioning business. By comparison, there were $10.5 million of restructuring charges a year ago, which included nearly $5 million related to the consolidation of operations in the Flexible Products & Services segment. The remaining amount was related to further rationalization of operations and contingency actions in the Rigid Industrial Packaging & Services segment. During the fourth quarter of 2013, we concluded our annual evaluation of long-lived asset impairment in accordance with accounting standard ASC 360 for fixed assets. Following this process, we recorded $28.2 million of noncash asset impairment charges, primarily related to underperforming assets within the Rigid Industrial Packaging segment and the fabric hub in the Flexible Products segment. There were no material asset impairment charges identified or recorded in the fourth quarter of 2012. Operating profit was $95 million for the fourth quarter of 2013 versus $64.1 million for the same period last year. This included a $17.5 million timberland gain, which we include in special items, representing the first phase of a multiphase timberland sale transaction that is expected to be completed over the next several quarters. In addition, higher operating profit in the Rigid Industrial Packaging, Paper Packaging and Land Management segments were partially offset by a decrease in the Flexible Products segment due to recognition of the noncash long-lived asset impairment charges, plus lower volumes and additional costs related to new facilities. Operating profit before special items was $109 million for the fourth quarter of 2013 compared with approximately $78 million the prior year. This improvement was driven by higher volumes and increased gross profit margin, which was reflected in increases of $23 million and $15 million, respectively, in the Rigid Industrial Packaging and Paper Packaging segments versus the same period last year. Net interest expense of $21.6 million for the fourth quarter of 2013 was slightly below the same period last year. This was due to lower average interest rates following refinancing activities in certain countries, partially offset by higher average debt outstanding related to a deferred purchase price payment from a prior year acquisition and administrative costs associated with establishing a new larger accounts receivable securitization facility in North America. Long-term debt decreased more than $33 million on a sequential quarter basis, but was $32 million above fiscal 2012 year end. Income tax expense was nearly $39 million for the fourth quarter and approximately $98 million for fiscal 2013. The annual effective tax rate was 40% for fiscal 2013 versus nearly 32% a year ago. This year-over-year increase reflects the impact of nondeductible, noncash long-lived asset impairment charges of $11 million against pretax income in fiscal 2013. Excluding these impairment charges, the effective tax rate for fiscal 2013 would have been 38.3%, reflecting a shift in earnings mix to countries with higher tax rates, especially the United States, plus additional discrete tax items. There were approximately $74 million of cash tax payments in fiscal 2013 compared with $57 million a year ago. Net income attributable to Greif for the fourth quarter of 2013 was $37 million or $0.63 per diluted Class A share. And the impact of special items was negative $0.13 per share. This compares with net income attributable to Greif, Inc. of $25.8 million or $0.44 per diluted Class A share for the fourth quarter of 2012 when the impact of special items was a negative $0.20 per share. EBITDA was $131.1 million for the fourth quarter of 2013, an increase of approximately $35 million compared with the fourth quarter of 2012. Stronger EBITDA results in the Rigid Industrial Packaging and Paper Packaging segments were partially offset by $28 million of noncash long-lived asset impairment charges. This reported EBITDA included $17.5 million from the first phase of the multiphase timber transaction. In addition to the positive volume and gross profit comparisons, other expense net was approximately $4 million below the fourth quarter of 2012. I am now on Slide 11. Cash provided by operating activities was $131.6 million for the fourth quarter of 2013 compared with $139.1 million for the same period in 2012. This year-over-year decrease was principally due to higher cash tax payments, partially offset by higher net income before noncash long-lived asset impairment charges. Free cash flow was $69.3 million for the fourth quarter of 2013 compared with $98.4 million a year ago. The decrease was due to lower cash provided by operating activities, plus higher capital expenditures and timberland purchases in the fourth quarter of 2013 compared with the fourth quarter of 2012. Capital expenditures were $54 million for the fourth quarter of 2013 compared with $40 million the previous year. Excluded from these amounts were $8.5 million in timberland purchases for the fourth quarter of 2013 compared with approximately $300,000 for the same period in 2012. The shortfall in free cash flow from our fiscal 2013 expectations was primarily due to higher working capital requirements, plus slightly higher capital expenditures and cash tax payments, partially offset by a $6 million lower net interest expense. Please turn to Slide 12. Concerning our outlook for fiscal 2014, we anticipate continuation of gradual global economic recovery in key markets during fiscal 2014, resulting in moderate sales volume improvements and slightly higher raw material cost. We will continue to focus on consolidation opportunities that are expected to involve higher restructuring charges in selected geographies that have not participated thus far in the economic recovery. Additional efficiency improvements led by the Greif Business System are expected to be achieved during fiscal 2014. Results for the Paper Packaging segment are anticipated to be near the record performance achieved in fiscal 2013. Based on these factors, fiscal 2014 EBITDA is expected to be in a range between $490 million and $540 million, which equates to a range of Class A earnings per share between $2.60 and $3.15 a share. These amounts include approximately $20 million for $0.20 per Class A share of timberland gains. This concludes my remarks, and I will now turn the call over to Manny for your questions.
Operator: [Operator Instructions] Our first question is from Phil Gresh of JPMorgan.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: I got a couple of questions. One, I was wondering if you could give us your thoughts around what free cash flow might look like in fiscal '14, and just kind of run through the pieces of that, CapEx, working capital, whether you might have any difference between booked and cash taxes, just kind of walk us through that.
David B. Fischer: Certainly. Ken?
Kenneth B. André: Sure. Yes. And before I start, I just want to make a correction. When I gave the guidance, I've mentioned that the timberland transaction would be included in the guidance. It should be excluded from the guidance. So the $20 million or $0.20 a share is excluded from the guidance of $500 million -- $490 million to $540 million.
Kenneth B. André: So if -- as far as 2014 cash flow, if we look at the EBITDA of $490 million to $540 million, we expect CapEx in the range of about $153 million, which is slightly higher than this year. Interest payments of around $89 million, which is fairly consistent. Cash tax payments would be a bit higher at $80 million. And working capital, although it's our goal to be neutral, we also have to recognize that some of our raw material costs may be increasing and the general level of sales activity will be increasing. So although we'd like to hold that to 0, we have a range of 0 to a use of $35 million, which would give us a free cash flow range in the $133 million to $218 million range.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. And within the CapEx, how much is there for the expansion project in Paper Packaging?
Kenneth B. André: There's 2 modest expansion programs included in that CapEx for approximately $25 million in the coming year. The 2 include the expansion for the Riverville shoe press operation. And also we were happy to report that we were the bid winner for an expansion with the Saudi Aramco-Dow joint venture called Sadara in Saudi Arabia. We're the sole -- going to be the sole supplier of steel drums to that operation. And that expansion is also included in that $25 million increment.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. And then on the containerboard, the guidance for the Paper Packaging segment, you said near 2013 levels. So I guess you're implying slightly down, but I guess I'm a little confused because I think you should have maybe, I don't know, $20 million to $30 million of carryover benefits from the prior price increase, I believe, so maybe you could just help me understand that. What kind of headwinds are you expecting that you would see next year?
David B. Fischer: Part of the challenge is that the 1 million tons of new capacity that's being announced in the United States is in the Northeast predominantly. And that's in our basket of OCC and fiber. So we're uncertain as to the impact that would have as that new capacity comes on relative to the growth of the overall market and how that's absorbed, number one. Number two, it's hard to say what OCC is going to do next year. There's been several forces in the past 24 months that have made that swing up or down, China being one of those in their offtake, local consumption based upon the paper activities and also with local production based upon the macro environment. So there's a little bit of uncertainty for us around raw material feedstock on OCC and the impact of these new competitors coming in.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. So it doesn't sound like you're worried about pricing, per se, it's more on input cost?
David B. Fischer: Predominantly, we're largely -- we're highly integrated in our own system and with our independent customers, so the base market doesn't have perhaps as much impact on us as others. And we're small in scale and we're in a differentiated niche, so we're not worried so much about where the price goes. It's more input cost and availability of raw materials as these new capacities come on.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Okay. Last question, David, just bigger picture. How do you think about -- today, how do you think about the margin potential of the Rigid and Flexible packaging businesses? Obviously, you talked about kind of coming up short of your expectations so far in Flexibles. But how do you think about both of those businesses, maybe on a 3-year basis at this point?
David B. Fischer: So let me take those separately, please. In the Rigid side, one of the outputs of the economic downturn several years ago and the second dip in Europe, one of the outputs of that has been curious for me. And that is, we have a wider spread of performance in our Rigid assets around the world, meaning that there's a group of underperformers that went into the tail. And on the other end, there's a group of high performers. But the spread between the 2 has widened significantly over the last couple of years. So as I think about it, I think from where we are today, regardless of what happens in the global economy, we have a responsibility to cease and desist or improve rather quickly some of the low performers or, let's say, cut off the tail, if you will, of the underperformers to boost our overall margins. I think as demand picks up, that will have -- or if the global economy continues to recover, that will have a positive impact as we slowly increase capacity utilizations. But we have some responsibility within our own gift, if you will, to improve those margins a little bit more rapidly than what the market would normally allow. And in the Flexible side, it's like, this is not -- it may come across as an excuse and it's not. But if you take a look at the base business of what we purchased and the assets that we run, the margins in that business for FPS have largely returned to the starting point for when we got into the business on an EBITDA basis, let's say, high-single digits. The drag we have on FPS and the thing that, I think, has hurt us is the fact that we have some of these underutilized capacities around the world, which have kind of stuck in a Catch-22 situation. They're not operating at a high enough capacity utilization to be contributors and yet we had invested heavily in them along the way, expecting the market to recover. Those poorly performing assets have to be addressed and addressed rather quickly so that the base business can get on with its return to a growth trajectory and improve margins. So I think it's unfortunate for us, the drag from those facilities has been large enough to mask the base business. And so by addressing those pretty aggressively here in the first part of 2014, I think we stand a chance to improve our lot in that business.
Operator: The next question is from Ghansham Panjabi of Robert W. Baird.
Mehul M. Dalia - Robert W. Baird & Co. Incorporated, Research Division: It's actually Mehul Dalia sitting in for Ghansham. Just wondering if you can update us on the competitive landscape in the Rigid business across the various geographies? I know you mentioned competition intensified last quarter. And relatedly, how does Mauser's rumored potential sale change the competitive dynamic for Greif?
David B. Fischer: I have to take those in 2 segments as well. So on the competitive front, we see a kind of a continuation of what we did last quarter. I don't know if it was the expectation that the year was going to be a stronger macroeconomic growth year or not. That didn't materialize for the third straight year in a row. That got people thinking that they needed to be more aggressive in their own self-help agenda, if you will, to increase their profitability via volume. Or if it was the impact of a downturn in the food market, not only in the Middle East, Europe and North America simultaneously, which is not a typical event for all of this to turn down at the same time and then the scramble for volume that caused that competitive intensity to pick up. I wouldn't call it -- maybe perhaps as in quite as intense as the last, let's say, 30 to -- 3 months to 6 months, but it has not subsided markedly. So it's still very intense. And I think with capacity utilizations down around the world, we might live in that environment for a while and that's one of the other drivers for us to close underperforming assets and increase our own capacity utilizations around to help out on the margin side. So on a macro basis, I would say, it's maybe slightly better, but not markedly better. And your second part of your question was, again, remind me?
Mehul M. Dalia - Robert W. Baird & Co. Incorporated, Research Division: Mauser's rumored potential sale, how that changes the landscape.
David B. Fischer: Yes. So it's hard to say if the rumors are valid or not from our vantage point. Over the past 3 to 5 years, Greif's been rumored to buy Mauser at least 4 or 5 times. This one does, in fact, seem to be a little bit more substantive. The fact that Reuters picked it up and there's some bankers talking about it. Clearly, they have their own buyout PE house, so eventually, they're going to come to the market. It is a question of who buys them and how they view that investment and the return on that investment to dictate how the competitive landscape may or may not change with that. Clearly, I think, eventually, there's going to be a transaction. We watch and monitor it very closely. And we'll just have to see what develops as either they get more serious and it becomes more real or the rumor fades like they have in the past. And I really can't tell at this moment.
Mehul M. Dalia - Robert W. Baird & Co. Incorporated, Research Division: Makes sense. And just as a follow-up. Would you be able to walk us through volume trends in the quarter by region and end market?
David B. Fischer: Certainly. For the first time in a while, I'm happy to say, as a general context of the year, volume year-over-year was up for all of our SBUs, not great in all SBUs, but up. And that's an unusual position for us to be in. So we're very happy with that macro context when you look at our portfolio. Looking more specifically, I'll look at the volume comparison first versus the same time period last year and then I'll cover this quarter versus last quarter. So if you take a look at the same time period as last year, in North America, Rigid business was off about 4%. This was driven by the very weak Ag season, not only in Florida, but also in California and a few spots in between. That was the only area versus same time period as last year that was down in EMEA or Europe. Our Rigid business was up about 2%. In Asia-Pacific, it was up about 8%. Latin America, up about 9%. And that 9% factor reflects 2 things: One, the resurgence of excellent management on our part leading that business down there, but also the strong Ag Chem season that developed in the last 90 days. And then our accessories business, which I don't usually comment about specifically, it was up versus prior year about 4% from a few line extensions and also servicing external customers, signaling that perhaps the market was strengthening a little bit, at least in this time period. When you take a look at our current quarter versus the last quarter. And just recall that our fourth quarter is typically a declining market because of seasonality for us. Versus the third quarter, we were off about 4% in North America. In Europe, we were off about 7%. In Asia-Pacific, surprisingly, we were still up about 2%. Latin America, off about 4% and flat for our accessories business. So I hope that gives you some flavor of what's happening around the world in those specific geographies and in all of our markets combined.
Operator: The next question is from Chris Manuel of Wells Fargo.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: So a couple questions for you. One, I wanted to ask or circle on a little bit on the cash flow that kind of you spit out. And I'm looking at your bridge from last year and specifically, I think working capital was slated to be a modest use of cash, but ended up being kind of north of -- by the math you show in the front of your press release, closer to $100 million or so. What happened towards the end of the year that made that swing so significantly, number one; and then, two, I mean, I guess given the outlook that you gave for next year, it's permanently in there. It's not a temporary one-time swing. Could you maybe give us a color there first? And then I just have a couple of follow-ups.
Kenneth B. André: Okay, sure. Chris, this is Ken. If you remember after last quarter, we did put a bridge out there that I think you were referring to. And so I'll walk you through the differences there. We had talked about a GAAP EBITDA for the year of $475 million to $500 million. If you look at the actual, excluding impairment charges and the timberland gain, we were at the upper end of that at $498 million, so pretty much in line. Our CapEx spending was a little bit higher. We had expected about $125 million and the actual came in at about $136 million. There's quite a number of growth projects, as you know, going forward. And so I think, overall, that's going to be a positive thing for the company. Interest payments, we're pretty much spot on. We had expected $85 million and they were $86 million for the year. Cash tax payments, similarly, we expected $75 million, they were $74 million. We did dig ourselves a pretty deep hole early in the year on working capital with a significant increase. And although we did work that down a little bit in Q4, we had expected that to work itself down to a net use of between $10 million and $45 million. And we didn't make that target, we were above $80 million there. I think some of the reasons we had talked earlier in the year about several inventory consignment programs that were ended. That led to an increase in working capital, but had a positive impact on the earnings of the company. We also had the benefit of the containerboard price increases on the Paper Packaging business results, but of course, their inventory and their accounts receivable, they increased in dollar terms, although in day terms, they stayed consistent. So overall, we did fall short of the goal that we had set that we had communicated to you at the end of Q3 of between $145 million and $205 million and came in with a free cash flow on this basis of $123 million.
David B. Fischer: And so, Chris, just to add a little bit of color. We gave you kind of an egg basket of things that affected us. We have to do a better job. We fully realize that on execution in operating working capital. That's part of management's personal goals going into 2014. Number one, the slowdown in the food season didn't help us at all either with the consumption of material on hand, particularly towards the end of the year as well. But one of the things that I think concerns, at least me the most, is the fact that we have a lot of working capital tied up in some of these underperforming assets, so we kind of get a double whammy and we have assets that don't perform very well and they have long supply chains to get, in many cases, not all, but in many cases to get some to these more, let's say, off-the-beaten-path countries that we operate in around the world. So when you have boats on the water to supply either resin or steel and they have an asset that's underperforming, it kind of puts kind of a bright light on that asset to get either fixed or off the schedule to improve our operating working capital to be where it needs to be.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: All right, that's helpful. And one quick follow-up within there is, can you quantify what the -- for us, what the earnings benefit was from the consignment element just so we understand what is the nonrecurring piece for next year?
Kenneth B. André: Let me look into that and I'll let Bob Lentz get back to you on that one.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. That would be helpful.
David B. Fischer: It would be small. It would be relatively small, but we'll come up with a more calculated number.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. The next piece I kind of want to look at maybe is kind of thinking of it by business units and approach the business that way. And I know that this is maybe a difficult way to look at it, but if we kind of look at what you did generate this past year in free cash flow, the paper business and timber business would've been more than your hole and significantly more. So if we kind of then think through some of the other businesses that on a net basis may be consuming cash, I know you mentioned some specific assets that seem to have stuff trapped or seemingly must be growing it, can you talk through, I think, of your other kind of 5 business segments, Flexibles, blending, filling, closures, recon, FIBC and the base drum business, which -- I guess that's 6 -- which are generating cash and which are consuming cash, does that makes sense?
David B. Fischer: I don't think we break down that kind of detail at that level of our businesses, Chris. But they're aggregating this way anyway.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Well, okay, so let me approach then from a little different direction yet. As you're looking at and evaluating -- I mean, in your press release, you indicated there's some underperforming business units or components that you'd look at for review or if possible take actions in, I mean, could some of that potentially include divestitures?
David B. Fischer: Absolutely. I think we put it into our non-core assets. So we have a strong initiative to not only look at the underperforming assets, to fix or close or exit them, but also where appropriate and available to us, to divest those to use that cash flow to pay down debt. And that is a concerted effort going into 2014.
Christopher D. Manuel - Wells Fargo Securities, LLC, Research Division: Okay. So there are some specific ones that are maybe cash challenged that you'd take a look at. Would you -- and maybe you already just kind of answered this portion of the question, but do you anticipate that, that would provide you cash proceeds or might there be some cost expenses to actually sever those pieces of business that are bleeding cash?
David B. Fischer: I would say, a minimum net proceeds of cash should -- for 2014 should be $50 million. And I would say an aspirational goal would be more like $100 million. And when you consider, it may sound like a lot, but when you consider that just on the Rigid side of the business, we have over a couple of hundred sites around the world, a rooftop consolidation and/or divestiture of ones that aren't core to our long-term mission should be able to generate that type of cash proceeds for debt reduction.
Operator: The next question is from Adam Josephson of KeyBanc.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: David, you mentioned, in response to Phil's question earlier that you think the drag in -- in the Containerboard business next year would mostly come on the input cost side rather than from pricing, if I heard correctly, so I'm just trying to tie it together. So do you still expect to get most of the leftover, $20 million to $30 million from the April price increase, but you think that could be partly, if not fully, offset by higher input cost, even though OCC prices are declining, at least they did this month. Is that correct? Or is there some competitive pressure that you think will adversely affect pricing, along with the potentially higher input cost?
David B. Fischer: Well, let me talk in terms of margins for just a second. So we, in the fourth quarter, we achieved all-time record. We finally got the full input and achieved all-time record margins in the business. We're still running strong because of our very small nature in the industry and niche participation with independent customers. We were run pretty hard. So I'm not thinking there will be a huge volume change year-over-year, maybe some incremental. And when I say incremental, maybe 1% capacity creep type on our system before some of our bigger capacity expansion ideas are -- excuse me, projects come to fruition in mid-2015. So I'm not thinking volume is going to change, largely. In our marketplace, where we work very closely with our customer base to talk about and handle pricing that fits their capabilities to absorb and we don't believe that we will have a difficult time either passing through higher OCC costs, but -- in the event they shoot back up. But we also worry about OCC availability and what that will do to our input cost and with 1,000 -- or sorry, 1 million metric tons coming on largely disproportionately, coming into our footprint, we do have a concern about those input costs going up. But as far as margin managing, I don't see them changing dramatically year-over-year, from where they are, let's say fourth quarter.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: Okay. Second question, obviously, in recent years, you've made significant investments in the Flexible and Rigid Industrial Packaging businesses and now you're expecting some higher restructuring charges in some of those businesses, while simultaneously making a significant investment in your containerboard mill. Does this represent a shift in your focus in any way from Industrial Packaging to Containerboard? Or where should we expect most of your earnings to come from in the years to come? And should it roughly resemble what it was this year? Or should more and more of it come from containerboard? I mean, what you think in future years.
David B. Fischer: I think if you looked at what's happened in the industry and I'm only a distant observer, who's 2% of the market, the industry in the Containerboard industry has clearly gone under a fairly radical change in the last 24 months. I don't think that's going to rapidly change, in terms of the market attractiveness. We have started in 2009, our Efficient Frontier strategy, meaning we have a very clear line of sight on both our mill systems on what capacity they should be at, that is optimized for their structural footprint. We had 11 projects identified in 2009 and we've completed 9 of those 11 with 2 remaining. And the 2 remaining, one of those is our largest 1, which is the addition of a shoe press in Riverville that we've talked about. So I think we have a clear line of sight to improving our EBITDA for that business by about 15% over these next 30 months. If the structure and current economics prevail during that period of time, we can increase our EBITDA by about 15%. So yes, there's somewhat of a disproportional investment in paper right now because of its attractiveness, but it's up to a limit. And at that point, I think you're going to see the improvement in our EBITDA have to come from our Rigid business. It has to come with continued macroeconomic recovery, but also our self-help actions about improving the drag on the business with underperforming assets or mediocre performing assets, which are keeping the average for the business down. So when you look at our expansion in the Middle East, you should also expect us to shut or close underperforming assets elsewhere in the world and release the working capital. And if we own that facility, the building capital for most sites to higher production, higher productive assets in operations around the world.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: And just 1 last 1 on the mineral rights issue. Obviously, you mentioned that you're evaluating opportunities to use a portion of the timberlands to, I think, unlock the value of the mineral rights, you said. Can you give us any sense of the potential financial opportunity in that regard, relative to your previously estimated value for your total land holdings of roughly $550 million?
David B. Fischer: It's tough to say because we're at such an early phase on that, Adam. We don't know much about minerals or mineral extraction, but we know enough that rather than just leasing our property out and letting somebody else drill or -- and pay us royalties, that perhaps, at least on a certain proportion, which is not the entire footprint for sure, but a certain proportion of it that is the most attractive mineral basin, it might be better for us to team up with a strategic partner and share in that risk and reward as we go forward. That strategic partner, or partners, are doing their homework in terms of mineral founding and chart analysis and whatever other exploration tools they use, to determine the best place to start an expansion. They're going to come back to us during this fiscal year and propose specific projects to us. And at that point in time, we'll have a database that says, here's what we're doing, here's what might be possible. But yes, this is very unpredictable and early in the process, when you're getting into a brand-new area that you're -- basically fell in your lap after owning these properties for decades.
Adam J. Josephson - KeyBanc Capital Markets Inc., Research Division: No, sure. And I guess that the same answer would apply to a question about EBITDA. So if I were to ask you how much could EBITDA grow by in the years to come, based on these opportunities you have at your disposal, would -- could you hazard a guess? Or it's just too unfair?
David B. Fischer: I would really be risking a true guess at this point in time. All I can say is that we're intrigued. I wouldn't say we're excited, but we're certainly intrigued, as choosing the best path for shareholders or whether or not leasing out the mineral rights and letting somebody else take the drilling risk, or us taking that on with a strategic partner and doing it ourselves makes the most sense. And right now, there's some work to be completed on that with a strategic partner. And when we get some clarity on that, we'll be happy to share it.
Operator: The next question is from Steve Chercover of D.A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: I'm just trying to actually calibrate just what the earnings potential of Rigid Industrial Packaging is now. Several years ago, you were closer to $300 million. I think you even beat that in 2008. And presumably, you've improved the business with some of the IBCs, but you've also shrunk it. So if the economy wasn't going at, to use your words, a snail's pace or in slow-motion, what do you think that can do?
David B. Fischer: I think, if you look back, the '08 is one of our peak years when demand was extremely robust and fairly predictable. From that base, first of all, we can do so much with a self-help agenda to get back to that peak and we will do those activities in 2014. But the macroeconomy's going to have to pick up for us to get that type of demand profile. And from that basis point, we expect at least a couple of percentage points of EBITDA margin above that period of time is well within our grasp of earnings profile in the coming time period. I'd hate to put a specific time period on it. Every time I try to forecast it, that the world is going to continue to get better, it proves that I'm wrong, because there'll be some macroeconomic activity. But from '08, with the new products and trimming off the poor performing assets, we believe another 2% on EBITDA margin across the envelope should be attainable.
Steven Chercover - D.A. Davidson & Co., Research Division: And the restructuring of the portfolio, putting things into different buckets hasn't changed that potential, it's still got a $300 million from the EBIT level, correct? The $300 million?
David B. Fischer: I'm sorry, I didn't answer the question.
Steven Chercover - D.A. Davidson & Co., Research Division: If you can still be in -- have access to $300 million, when the economy is doing better?
David B. Fischer: Yes.
Steven Chercover - D.A. Davidson & Co., Research Division: It does seem that you're being relatively conservative, both on paper, although I don't want to be a blind bull. But I should also think that Rigid would have more potential in 2014, unless you're expecting actually another horrible agricultural season.
David B. Fischer: I don't know how to -- what to expect on Ag. All I can say is that, for the last decade anyway, we've never seen the Ag season turn down in all 3 of our important regions, not a 1. So that would be highly unusual, for that to do that. That would be a first that I can remember for -- in 2 years in a row, #1. Number 2, it all depends on what happens. We have a clear line of sight of the things that we have in our control, to go improve and we're going to do that. But this is the third year in a row now, where at the beginning of the year, our customer base, our bankers and ourselves talk ourselves into the latter half of next year will be better. And it didn't come to pass for the last 3 years. So I'm very hesitant to say that there's more in the tank for Rigid, without knowing where the macroeconomy's going to go.
Steven Chercover - D.A. Davidson & Co., Research Division: Yes, I know, it sounds like being a [indiscernible]. Now on Flexible, I understand you're going to take some serious action and it seemed like such a great adjacent substrate, but is it possible that it just doesn't work? And how long will you tolerate the performance there?
David B. Fischer: I'm pretty confident it's going to work. And it is a great adjacent substrate that our customers, particularly our large international customers, are finding great value in us bringing to them along with our other packaging officers -- offerings, sorry. So I highly doubt, at least in my tenure, that we would be giving up on it. But we do have to fix our missteps of the past and our overreaching expansion agenda, so that the base business can get to a profitability and a base, performance base that we can once again grow from. It doesn't help that these packages that we produce are not long travelers, if you will. It's not a -- it does happen, but it's not as common as steel drums or IBCs that they get put on ocean going freight and go for an export-type business and being 75% or 80% tied to the Western European market, where local consumption is still considerably off from where it originally was and hasn't rebounded. I mean, when you see Western Europe numbers, at least the ones I look at, from our customer base, that are getting better, it's largely either driven by the German pet chem companies that have natural gas pipelines into their big, integrated facilities at low cost, or it's export based for other regions of Western Europe. So our footprint isn't conducive to a big macroeconomic recovery or exporting of those products out of those regions. So we have to get our act together to expand in the other geographies much better and I think you'll see the actions we have lined up. We'll show a committed effort to improve it.
Steven Chercover - D.A. Davidson & Co., Research Division: Great. And last question, I promise. Your prior CFO discussed a strategy to reduce SG&A by, I think, 200 basis points towards 8%. Can you give us a progress report there, please?
David B. Fischer: Yes, thanks for asking. So we're about 10 months now into our -- and this isn't the only initiative -- we're about 10 months into our global ERP project, maybe 11. It's going well. We -- during the past quarter, have added Hungary in the shared service platform that we're introducing to Europe, into that mix. Our implementations are on track and we're happy with the results on them. That global ERP is a real big enabler for us to achieve that 200 basis points across the portfolio. In addition to that, for 2014, we've taken a pretty strong push on the corporate budgeting process and reducing corporate shared service and supporting groups' budgets to the businesses, down in advance of that ERP system. So we're not just waiting on that implementation to get after it, but we're going to have to have, not only some of the expenses come out of the denominator, but we also have to have some sales pickup, just get that percentage down on a macro basis. So thanks for that question.
Operator: We have time for one more question. It comes from the line of Mark Wilde of Deutsche Bank.
Mark Wilde - Deutsche Bank AG, Research Division: I've actually got a little more than one, but we'll -- try to make these fast. First, can you give us some sense of what the benefit was in 2013 from broadening the IBC base out, producing those in more locations, and kind of what type of delta we might have in 2014?
David B. Fischer: Yes. Thanks for that question. So it's tough to say what -- I just don't know, off the top of my head, what the absolute delta is on the IBC product line. But I can tell you this, we're now up to 13 lines around the world that are being either already installed, or are going, in process. We're well past the tipping point, with only a couple of substance remaining. Global operating rigs, last time I looked, were somewhere around 60% for us, but that's at average across those lines and they vary across the globe. But that's up markedly. So I think '13 was actually a tipping point, where the investment was starting to pay off and we're starting to see more benefit from that. But we're up to about 1 million units. And if you average all across the globe, you end up with about $160 million in sales or so, or $170 million in sales. So around $160, $170 a unit for those 1 million units. And we're the third player coming into this market. And we have a very large footprint across the world in steel drums, having IBCs coming along with that offering to our international customers is very important to them. So we get that 60% utilization up to more like 80% by the end of 2014. You're going to see the investments start to really make a difference in our earnings.
Mark Wilde - Deutsche Bank AG, Research Division: So just, Dave, just to kind of -- if you're going to 60 to 80, just working in rough numbers, that sounds like you think you can do something in the range of an incremental 300,000 units. Is that about right?
David B. Fischer: Yes, it's rough numbers.
Mark Wilde - Deutsche Bank AG, Research Division: Okay, that's helpful. The second thing, I just wondered on these review of the underperforming business, we can all...
David B. Fischer: Mark, just so you know what I'm talking about, that would be a run rate by the end of next year, not applying to all of 2014. That's as we fill up those capacities as they come online. And for the ones that are online, we fill up. So just to be clear.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. In terms of the underperforming businesses, we can all see, kind of the overall flexibles this year. I just wondered if you could put a little more color on some of the areas where you really, you're having to take a hardest look at business right now.
David B. Fischer: Well, it's geographically fairly dispersed, actually across the world. There are more of them outside the United States than in. Obviously, some of those, in those outlying regions, are smaller markets. And if you think of it in terms of numbers out of a couple -- a little more than a couple of hundred sites you're talking about, 10 to 15 sites that are in question for us in 2014, that are either going to have to get their act together and be, not just better, but at a return that we're proud of. And if they can't get there, we'll be looking to either shutter them, move the equipment, or sell them to a local competitor.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. And I noticed that one of the write-down areas was in the fiber hub in KSA and I know that you had gone into that fiber hub in a smaller way than you'd initially planned. So can you just update us on sort of what the current kind of strategy and thinking is around that fiber hub? Is it -- you've gone in smaller and now you've done a write-down on it.
David B. Fischer: Yes, yes. And the fiber hub is clearly in question of how to either fill it up and get it at scale, or if we can't do that and, can't get some help from our supply base over there, exit that longer term and go back to the base business footprint, which is a very viable footprint for the capacity and the sales that we currently have. But we're kind of stuck in a Catch-22 situation there, that we built a very nice facility, state-of-the-art, we built it on the, one of the best ports in the world and now sales has lagged so much from our expansion efforts that it's very difficult to get out of that Catch-22. And because of that forecast and the fact that we're not at scale, we don't get the kind of discounts that we would enjoy at a high -- much higher run rate from our local supply base there, we had to take the asset impairment, which basically equates, coincidentally, to about the engineering value of the building, not the building itself. So we're in a tough quandary there, in terms of volume and volume output for a hub that would -- should be well on its way into the second phase of expansion at this point in time. And that's a key topic for us to tackle with our JV partner here in the coming weeks.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. And Dave, in Flexibles, initially, you talked about getting this business to about $1 billion in revenues a while you back. You trimmed that, I think, to $750 million. Is that $750 million still a good target in your mind?
David B. Fischer: I think it's going to take some time, Mark. And it all depends on what we do with a couple of these what I call, laggard or underperforming assets that I mentioned earlier, Morocco, the Ukraine and KSA hub, to come up with a quantitative goal. I think there's significant expansion still available to us, once we get, again, the base right and the base solid to go into our other markets that we're hardly participating in right now, North America being the big one, Latin America, Russia and, to a lesser extent, Southeast Asia.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. And I can assume, just as I recall, a strategy that of the KSA and Morocco are kind of intertwined because I think you were going to produce, kind of fiber and fabric there and then that was going to Morocco for selling?
David B. Fischer: Yes.
Mark Wilde - Deutsche Bank AG, Research Division: Yes, okay. And then finally, Ken, just a -- from a -- to make sure we're clear about the guidance target, that $490 million to $540 million of EBITDA, does that exclude restructuring and then exclude other special items?
Kenneth B. André: That includes restructuring and special items. It only excludes the timberland gains.
Mark Wilde - Deutsche Bank AG, Research Division: Okay. All right. And just ballpark, do you have any view of what restructuring is likely to look like for next year?
Kenneth B. André: Very hard to estimate, but we're thinking in the range of about $25 million.
Operator: Again, that is all the time we have for questions. I'll just turn the floor back over to management for any additional remarks.
David B. Fischer: Okay. I'm on Slide 14. Our fourth quarter results included improved operating performance in Rigid Industrial Packaging and record results in Paper Packaging. During fiscal 2014, we will continue to emphasize safety in all of our facilities. While global market conditions are gradually improving, the recovery remains uneven, we plan to implement additional restructuring activities for select geographies and assets that have persisted with unacceptable results. In Paper Packaging, we will increase integration levels, capacity and product differentiation to serve our customer base. The Greif Business System continues to be a powerful integration and cost savings tool to create an unlock value. Reducing working capital and increasing cash flow are key priorities for 2014. Deb will now provide final instructions for the call.
Debra Strohmaier: Thank you, David. A replay of this conference call will be available in approximately 1 hour on the company's website at www.greif.com, in the Investor Center. We appreciate your interest and especially your participation this afternoon. This concludes our call and you may now disconnect your lines. Goodbye.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.